Operator: Thank you and welcome to the Boxlight Fourth Quarter and Full Year 2022 Earnings Conference Call. By now, everyone should have access to the press release issued this afternoon. This call is being webcast and is available for replay. The remarks today will include statements that are considered forward-looking within the meaning of securities laws including forward-looking statements about future results of operations, business strategies and plans, customer relationships, market trends and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in the company's most recent Form 10-K, Form 10-Q and other reports filed with the SEC. The company undertakes no obligation to update any forward-looking statements. On this call management will refer to non-GAAP measures that, when used in combination with GAAP results, provide additional analytical tools to understand the company's operations. The company has provided reconciliations to the most directly comparable GAAP financial measures in the earnings press release, which will be posted on the Investor Relations section of the company's website at boxlight.com. And with that, I'll hand the call over to Boxlight's Chairman and Chief Executive Officer, Michael Pope.
Michael Pope: Hello, everyone and thank you for joining our fourth quarter and full year 2022 earnings call. Also joining me are Mark Starkey, our President; and Greg Wiggins, our Chief Financial Officer. We reported $43 million in revenue for the fourth quarter short of our Q4 guidance and a slight decline from our revenue in Q4 2021. The softer revenue production was a result of changes in foreign currency exchange rates and slowing demand across the industry during the second half of 2022, which we believe is a temporary low after several quarters of substantial growth. On a constant currency basis, we in fact generated a slight revenue growth of 7% for the quarter. We also generated better-than-expected profitability including $2.6 million in adjusted EBITDA greater than our guidance of $2 million and an improvement of $4.6 million over Q4 2021. Our strong profitability was mainly a result of our higher gross profit margin of 34%, our best result to date and an increase of 1,240 basis points over Q4 2021. For the full year 2022, we delivered $222 million in revenue and $19 million in adjusted EBITDA. For each of the last three years we have demonstrated consistent revenue growth and an improving bottom-line. During that time revenue grew from $33 million to $222 million and adjusted EBITDA improved from a loss of $6 million to positive $19 million. Much of that growth was due to strategic acquisitions. However, we also produced substantial double-digit organic growth, lifted our gross profit margins and held operating expenses in line. During the second half of 2022, we generated $8 million in cash flows from operations allowing us to pay down our debt facility by $8.5 million. As of December 31, our debt balance was $50 million, which is manageable at less than 0.5 times current assets and 2.6 times our full year 2022 adjusted EBITDA. We recently announced a $15 million share repurchase program. And as our business continues to mature, we expect growing operating cash flows that we will strategically deploy to drive long-term value to our shareholders, including the repurchase of our stock during times we are trading below our intrinsic value. At December 31, we reported a healthy balance sheet position including $15 million in cash, $58 million in inventory and $63 million in working capital. Our inventory position in particular is strong in each of our key markets and across all of our key products. We are expecting modest single-digit revenue growth for the full year 2023. However, we believe the bulk of that growth will come during the second half of the year. For Q1, 2023, we are guiding to $40 million in revenue and $3 million in adjusted EBITDA. Our confidence in delivering full year revenue growth is due to recent increases in both sales opportunity registrations and our overall pipeline, which are leading indicators for order intake. Additionally, there are still substantial government funds available to purchase education technology solutions, particularly in the US and select European markets. In the United States, billions of dollars of ESSER funding are set to expire, if not obligated by September 2023 and September 2024. School districts will be scrambling to make significant purchasing decisions over the next few quarters to meet those deadlines. In the State of Texas, Governor Greg Abbott proposed the use of nearly $750 million in state funds to make school safety improvements, including technology upgrades. Our Boxlight Integrated Technology Solution Attention! is a prime candidate for those funds and we are actively promoting that solution across the state. Attention! combines our campus-wide paging, intercom and emergency communication platform FrontRow Conductor with our cloud management platform CleverLive and our flat-panel displays including MimioPro 4 and Clevertouch IMPACT Max. Although, we sell our solutions globally, we are proud to be headquartered in Atlanta, Georgia. Many of our largest competitors are foreign-owned, which has come under additional scrutiny in recent quarters, particularly in the US and Western Europe. Of specific concern is data security and privacy. Our software solutions that how sensitive student and user data are developed and housed in the US, UK and Europe and we can certify that user data is not accessible by foreign corporations or governance. We continue to offer the most comprehensive integrated solution suite on the market and we made substantial progress during 2022 in both enhancing our existing solutions and bringing new solutions to market. In recent months, we announced our new generation interactive flat panels, digital signage displays for the US market, all-in-one LED video walls, wireless presentation hubs and substantial enhancements to our software suite, including CleverStore, CleverShare, CleverLive, Conductor, LYNX Whiteboard and MimioConnect. We are leading the industry in delivering consistent innovation and are often recognized with awards and accolades. Just last month we received 10 awards from Tech & Learning for several of our hardware, software and service offerings including Attention!, MimioPro 4, CleverLive, Robo 3D printers and EOS Education Professional Development Services. In our Boxlight mission statement, we articulate our vision to be the industry leader and we fully expect to be the number one provider of interactive technology solutions in every major market where we compete. We also recently updated the last paragraph of our mission statement to read "We strive to be a trusted partner to our customers, vendors, investors and employees and to earn a fair profit while embracing ethical, diverse and inclusive business practices". We stand by our commitment to be a trusted partner to all stakeholders. Additionally, in unison with our Diversity and Inclusion Committee, our executive team has put the topic of diversity, equity and inclusion at the top of our strategic planning for 2023. Per a recent McKinsey study, a diverse and inclusive culture enables us to enhance our creative thinking, problem-solving ability to deliver deeper connections with partners and customers and ethically diverse companies are 35% more likely to outperform their peers. Also for a recent Deloitte study companies with an inclusive culture are two times is likely to meet or exceed financial targets, six times more likely to be innovative and five times more likely to anticipate change and respond effectively. Our greatest asset as a company our key competitive advantage is our people. We have successfully hired and retained the best employees in the business, many of whom came from our competitors and I'm proud to work with talented, dedicated and loyal employees that believe in our company vision and are committed to make it a reality. With that, I will now turn the time over to our President, Mark Starkey. 
Mark Starkey: Thank you, Michael. We booked $39.6 million of orders during Q4, down 4.6% in Q4 last year. The decrease in orders is primarily due to a general slowdown post pandemic and we expect further -- sorry, we expect future orders to more closely follow the traditional ad tech phasing with order intake stronger in Q2 and Q3. For the full year, our order intake was $225 million, compared with $216 million in 2021, representing 4.2% year-on-year growth. Our focus remains on building a strong profitable business and improving our gross margin percentage has been central to this goal. We achieved a record GP percentage of 33.6% in Q4 and we expect gross margins to remain strong throughout FY 2023. Some of our key orders received during the quarter, included $7 million from Graphics Distribution, our U.S. distribution partner, $4.8 million from Bluum in the U.S., $1.8 million from Avion Interactive in Finland, $1.5 million from Unit DK in Denmark, $1.4 million from D&H Distribution in the U.S. and $1.1 million from ESI Informatique in Belgium to name a few. Despite the small decline in order intake, our actual market share in the U.S. increased from 6% in Q4 last year to 9.3% in Q4 this year according to data from Futuresource. Our EMEA market share decreased marginally from 7.2% to 6.8% during Q4. Our expectation is that our market share will increase to over 7% in EMEA in FY 2023 as our new German team get up to speed and start winning significant contracts. In terms of end users, we had some great wins during the quarter. Our FrontRow campus communication platform featuring easy room is gaining traction, and we have had some excellent wins particularly in the Texas region with several school districts investing heavily in campus safety. We continue to roll out large-scale projects at San Diego School District and growing business in LAUSD. These are part of long-term relationships based on our software platforms that are widely used by the teachers in each district. We also won a great project at Gulfport School District in Mississippi to roll out our Mimio solutions with Bluum. In Germany, we won tenders at the city of Ireland, a city of Malacca and the district of Durant. In each instance, we beat the competition based on the functionality and operability of our screens and software solutions. In the UK, we won a great project for North Kent College to kick out their multi-campus rollout in Dartford, Gravesend and Cambridge. The customer needed a security-rich and flexible solution. Our Android 11 IMPACT Max screen exceeded their expectations in all aspects. We also continued our national rollout with Babcock Aerospace providing our UX Pro solutions for their unified communications and training. In summary, Q4 was focused on improving our profitability and margins across both the US and EMEA operations. We expect that to continue throughout FY 2023. With that, I will now turn the call over to our CFO, Greg Wiggins.
Greg Wiggins: Thanks, Mark, and good afternoon, everyone. I will now review our fourth quarter results. Revenues for the three months ended, December 31, 2022 were $42.8 million as compared to $44 million for the three months ended December 31, 2021 resulting in a 2.7% decrease. FrontRow revenues for the three months ended December 31, 2022 totaled $6.7 million or approximately 15.7% of our total revenues. FX headwinds continued to impact operating revenues in Q4 2022 compared to the prior year quarter. On a constant currency basis, operating revenues increased approximately 7% for the three months ended December 31, 2022. Taking a closer look at Q4 2022 revenues, EMEA revenues totaled $16.9 million or 40% of our total revenues. Americas revenues totaled $25.1 million or 58% of our total revenues, while revenues from other markets totaled $800,000 or 2% of our total revenues. Our top 10 customers represented approximately 37% of total sales in Q4, with the single largest customer at approximately 12% and are based across a number of markets namely the US, U.K. and other European countries. Approximately 47% of total sales are covered by the top 20 customers. In Q4 2022, hardware comprised the largest proportion of total revenues at approximately 93% of which approximately 75% related to our flat panel displays, with the balance related to classroom audio solutions and device accessories. The balance of our total revenues are comprised of software, professional services, and STEM solutions. Gross profit for the three months ended December 31, 2022 was $14.4 million, as compared to $9.3 million for the three months ended December 31, 2021. Gross profit margin for the three months ended December 31, 2022 was 33.6% which is an increase of 1,240 basis points over the comparable three months in 2021. Gross profit margin adjusted for the net effect of acquisition-related purchase accounting was 35% as compared to 22.7% as adjusted for the three months ended December 31, 2021. The improvement in gross profit margin in Q4 2022 compared to the prior year period is primarily due to higher margins associated with FrontRow products, lower manufacturing costs, and continued reductions in freight costs over the prior year period. Total operating expenses for the three months ended December 31, 2022 was $15.3 million compared to $14.3 million in Q4 2021. Operating expenses for the three months ended December 31, 2022 included $3 million of operating expenses related to FrontRow activities. Other expense for the three months ended December 31, 2022 was a net expense of $1.6 million, as compared to net expense of $2.2 million for the three months ended December 31, 2021. The increase was primarily due to gains recognized from the change in fair value of derivative liabilities of $1.1 million in Q4 2022, coupled with a loss of $1.5 million recognized in the prior year related to the settlement of our previous debt agreement, partially offset by an increase in interest expense of $1.9 million, associated with increased borrowings under our credit facility. The company reported a net loss of $2 million for the three months ended December 31, 2022, as compared to net loss of $7.1 million for the three months ended December 31, 2021. Net loss attributable to common shareholders was approximately $2.3 million and $7.5 million for the three months ended December 31, 2022 and 2021 respectively, after deducting the fixed dividends to Series B preferred shareholders of $317000 in both 2022 and 2021. Total comprehensive income for the three months ended December 31, 2022 was $4.8 million, compared to total comprehensive loss of $6.9 million for the three months ended December 31, 2021, reflecting the effect of foreign currency translation adjustments on consolidation with the net effect in the quarter of $6.8 million and $0.3 million gain for the three months ended December 31, 2022 and 2021 respectively. Earnings per share loss per basic and diluted share, was negative $0.03 for the three months ended December 31, 2022 and a loss of $0.11 for the three months ended December 31, 2021. EBITDA for the three months ended December 31, 2022 was $2.5 million, as compared to a loss of $5.1 million EBITDA for the three months ended December 31, 2021. Adjusted EBITDA for the three months ended December 31, 2022 was $2.6 million, as compared to negative $2.1 million for the three months ended December 31, 2021. Adjustments to EBITDA include stock-based compensation expense, gains/losses from the remeasurement of derivative liabilities, gains/losses recognized upon the settlement of certain debt instruments and the effects of purchase accounting adjustments in connection with recent acquisitions. EBITDA for the year ended December 31, 2022 was $15.4 million, as compared to $4.1 million for the year ended December 31, 2021. Adjusted EBITDA for the year ended December 31, 2022 was $18.9 million, as compared to $12.1 million for the year ended December 31, 2021. Turning to the balance sheet. At December 31, 2022 Boxlight had $14.6 million in cash, $62.8 million in working capital, $58.2 million in inventory, $195.8 million in total assets, $44.6 million in debt, net of debt issuance costs of $5.4 million and $51.9 million in stockholders' equity. At December 31, 2022 Boxlight had 74.6 million common shares issued and outstanding and 3.1 million preferred shares issued and outstanding. With that, we'll open up the call for questions.
Operator: Thank you. At this time, the floor is open for questions. [Operator Instructions] And the first question today is coming from Brian Kinstlinger from Alliance Global Partners. Brian, your line is live.
Brian Kinstlinger: Great. Thanks, so much. First, you mentioned, you thought lower demand was temporary. What gives you that confidence? And when do you expect demand to strengthen? Is that the second half of the year and why?
Michael Pope: Yes. So a couple of thoughts. Thanks for the question, Brian. And Mark, you can jump in after if you'd like. So there's really a couple of things we watch. One is, we watch pretty closely industry reports. And if you look at industry reports, we're seeing the expectation is there. There is going to be greater demand at the latter part of the year. And that although 2023 will be down some for a lot of our key products over 2022, it's low single-digits. So it's not a dramatic decline in 2023. Now that being said, a lot of our growth has not been growing with the industry. It's been taking market share and we still believe we're in a position to take some market share. But then on a macro level, just looking at our own business, we see indication of greater sales based off of opportunity registrations or sales registrations that we bring in from our reseller partners. And then also we track our pipeline and we see it in pipeline growth. And we've seen over the last few weeks there's been a big surge in sales registrations and pipeline growth which is going to lead to much higher sales for the latter part of the year. I'd add on top of that we've invested in our team in the latter part of last year coming into the beginning of this year, we hired some additional salespeople in key territories and we've added some of our sales support team. So a combination of looking at the broader industry, looking at on a micro basis what's happening within sales registrations and our pipeline growth and then also the additional resources that we've thrown at our sales team, the combination of all of that leads us to believe that we will see growth this year albeit perhaps modest single-digit growth. 
Brian Kinstlinger: Great.
Mark Starkey: The other thing I'd add to that Michael -- for you Brian is we still believe there's approximately $88 billion left on the ESSER III funds that's got to be spent in the US, right? That's going to be spent by September next year. So those funds are use it or lose it, right? So okay, we're not going to get a massive percentage of those funds, but there is still a significant amount of money out there which needs to be spent by the schools, otherwise they lose it. So the demand we think will definitely come back.
Brian Kinstlinger: One follow-up. Okay.
Michael Pope: And I'd just add on that point, the education buying season -- so education in the US, public education is on a June 30 year-end. And so you see this time of year in February, March, April in particular, they're planning for the new school year budget. And so they're making decisions right now to be spent next year. We think part of the reason there's been a little bit of a low is because there was an increase in spending post-COVID where schools were buying a lot of technology and spending. But we think they just stepped back and took a little bit of a breather and now they're making decisions again that will kick in and definitely -- I think they'll start to kick in, in Q2, but definitely come Q3 we're going to see a big influx we believe in spending.
Brian Kinstlinger: Great. Just a follow-up. It's a little more backward looking, I would think back in November when we had our last conference call here, the pipeline was still strengthening which is why the pipeline was solid, which is why you thought revenue would be higher. So what happened? Was there delays in purchases? What transpired that you didn't expect that led to the lower-than-expected demand?
Michael Pope: Yes. I think a couple thing a couple...
Mark Starkey: Michael, I'd love to jump. Okay, you're first. Sorry.
Michael Pope: Yeah. No, go ahead, if you want to jump in first go ahead.
Mark Starkey: Yeah. The first thing I'd say there Brian would be the FX. There was a huge impact on FX at the end of Q3 and definitely in Q4, which is why when you actually look at our numbers, if you look at it on a constant currency basis, we actually had a 7% growth in Q4, but without that on a dollar basis then we actually had a decline or small decline. So FX paid a big impact in our Q4 numbers definitely.
Brian Kinstlinger: Okay.
Michael Pope: Yeah, I think that -- I would mention that. But I'd also mention Brian that we knew that it was slowing because order intake slowed in Q3 of last year. So we already knew that. We reported on slower order intake which -- when order intake slows of course that results in lower revenues. So we guided down a little bit already in Q4, but it just ended up being a little bit softer than what we expected not dramatically softer, but somewhat softer than what we expected. 
Brian Kinstlinger: Now your gross margin was one of the highest in your history. I assume a big piece of it was FrontRow. But first was there anything non-recurring in there? And second you mentioned you expect strong gross margins for the year, sorry, but I think it's a little vague does that mean 34% is sustainable? Does that depend on volume and mix? Just kind of take us through your assumptions because it was so much stronger than typical. 
Greg Wiggins: Yes. Brian, I'll jump in first on this one. So to maybe add a little more color to margins holding up throughout the rest of the year. I think we -- I think to be a little more specific we think they're going to hold up north of 30%. I don't now that we would commit to 33%. I don't think there's any noise in the results for Q4. A lot of the strength in margin really is just coming through reduced manufacturing costs, reduced freight costs et cetera which we disclosed. And the FrontRow does have a positive impact. It had a positive impact for every quarter this year. FrontRow is not driving the entire growth so -- in our margin. I would say it's actually a combination of factors. I think as far as the margins holding up throughout the rest of the year I think we would view them north of 30% is our expectation for the duration of the year maybe trending a little closer back to 30% as the year progresses. 
Michael Pope: Its FrontRow, Brian. You mentioned FrontRow, we acquired FrontRow in December 31 of 2021. So we had FrontRow in our numbers for the full year 2022. So if you're looking -- if you're comparing gross profit margin from quarter-to-quarter that wasn't new. The real benefit was higher focus on higher margins. So that was a major focus inside the company trying to drive higher prices and then that combined with us buying better and then the lower freight and transportation costs. 
Brian Kinstlinger: And then lastly, I wanted to touch on pricing. I think last we spoke there wasn't pricing pressure, but there's a potential obviously with the market going down. Has anything changed from a competitive positioning and pricing in the market? Is there any one competitor going out there trying to be a little bit more aggressive?
Michael Pope: You know, we absolutely have some competitors that have more aggressive pricing. So the way we price ourselves in the market is we're not the low-cost leader. We're going to be higher than the guys that price on the lower end. And we talk about selling value, which we do. It's not just about a point solution. It's about our total solution which includes hardware software services. And so there's a reason we'll charge a little bit more. But that being said there will be broader price pressure we believe in the near future. Now what does that mean? I don't know. I think it's going to be out a few quarters. But certainly we're going to see some price pressure on our interactive flat panel displays just because of the life cycle of any product sees that. And so our ability to maintain high margins is not going to be based on just IFPD. It's going to be our ability to sell our broader solution suite, which includes software which has higher margins and accessories which are higher margins our STEM solutions et cetera. So again, we believe that we can continue to maintain high margins in the short -- maybe midterm but long term is going to be a function of us selling our -- being more successful with our broader product suite and it's going to be a matter of product mix. 
Brian Kinstlinger: Thank you.
Operator: Thank you. [Operator Instructions] And we did have another question come from Jack Vander Aarde from Maxim Group. Jack, your line is live.
Jack Vander Aarde: Okay, great. I appreciate the update guys. Thanks for taking my questions. Michael maybe I'll just start quickly with the share buyback program you announced recently. I thought that was a positive announcement just want to understand maybe, I think in that press release you mentioned whenever the share -- you'll use it whenever you see the share below maybe the intrinsic value. So, maybe can you just speak to whatever color you can provide on what you perceive as intrinsic value? And have you used any of the share repurchase program to-date or are there plans to do so in the near future?
Michael Pope: Yes. Thanks Jack for the question. So, to-date, we have not exercised the use of that facility yet, but we were approved over the next few years to purchase up to $50 million of our stock by the Board. So, it's a facility we're going to use or we expect to use. Speaking of when, really it's a matter of watching closely our cash flow generation and we expect that we're going to start to generate pretty significant cash flows, particularly in the second half of the year. And as that happens, we'll look at that excess cash flow that we have and look at the best way to spend that cash whether it's paying down debt or investing in the business or buying our stock back. And I expect that in a short number of months, we're going to be talking very closely about potentially purchasing shares back. Speaking to what we believe intrinsic value is, I don't know that it'll -- I'll give you a specific number, but I'll say that we feel like we're well below where we should be. And I think that's true of all the shareholders we talk to on a regular basis. They believe that our current value in the market is significantly below where we should be. And of course that's true if you look at any type of earnings or revenue multiple you're going to come to that conclusion.
Jack Vander Aarde: Okay, great. I appreciate the response. And then in terms of -- I think last quarter you were mentioning when we started experiencing a slowdown in demand or seeing it happen that the FrontRow business was experiencing maybe a greater decline in demand at that time. It seems like it was a net positive contributor though in this fourth quarter. And I guess just looking forward, has your expectations changed? I think last quarter you were expecting the business to have a strong rebound in 2023. So, maybe just talk about what's happened in terms of the FrontRow specifically with the demand outlook.
Mark Starkey: Michael, do you want to take that one or do you want me to take that one?
Michael Pope: Yes how about you jump in Mark on that? 
Mark Starkey: Yes. Yes. So, you're right. I mean FrontRow was a little slower than we expected last year. But definitely we are seeing things pick up for FrontRow solutions. In particular we've integrated part of FrontRow solutions into what we have with both Mimio and Clevertouch, so that we have an integrated solution across the campus, which we call ATTENTION! and that is getting a lot of attention because the K-12 customers in particular are seeing how we can show an integrated solution that can give an alert, not just an audio alert, but integrate it to all the screens that they have on their campus. That really differentiates us from the competition having that integrated solution. And we are seeing definitely more recently things picking up for FrontRow. And the business is being integrated into our business now. The sales force it is one sales force, it's not two sales forces in the US. So, things are definitely more positive for us on the FrontRow side.
Michael Pope: Yeah. And I would add that I think there's been quite a bit more interest in recent weeks and months, partially due to more focus on school safety. That ATTENTION! product in addition to being a great communication tool to communicate in any way needed. In the event that there is an emergency alert, we can push those emergency alerts across the campus both across every screen as well as every speaker throughout the campuses. So the ability to do that is unique and it's really unique to us and there is more focus on that. We talked about an opportunity in Texas with government funding and specifically around school safety. And we think that we could do quite a bit of business in the State of Texas this year with Audio. But I would just echo what Mark said that, we're seeing more interest. I think you're going to see an up-tick in 2023 of Audio sales whereas as you mentioned 2022 was below what we had expected.
Jack Vander Aarde: Okay. Great. I appreciate the color. But despite these headwinds, I do want to point out and mention congrats on your first full year of positive cash flow from operations. It's a big moment for you guys. It's been a long time coming. So that was great to see. As you look forward in 2023, I imagine you're pretty confident about that cash flow growing cash from operation is growing even in a flat environment it seems. Can you just speak to your outlook with the cash from operations? And maybe as that builds, where else do you look at in terms of putting that cash to use? Is there additional acquisitions, or is it more of reinvesting in the organic growth of the business?
Greg Wiggins: Yeah. I think in the near-term it's going to be about building what we feel are adequate cash reserves building up cash in the business. Obviously we paid down $8.5 million of principal on our debt in Q4. So -- and that was paid with cash flow from operations. So part of it is building that -- building our cash back up to a sufficient level of serves as Michael kind of alluded to earlier, it's also with share buybacks and potentially in other ways to reinvest in the business there. From an acquisition standpoint, I think we feel like there's a lot of room organically right now to grow the business. We're targeting new areas both in the U.S. and EMEA to target our sales efforts or increase our sales efforts in. So for the short-term those are probably kind of the primary uses of our cash. Certainly, we -- there's other avenues we could explore from as we continue to pay attention to our capital structure and whether it's either paying down debt or through share buybacks as we kind of explore those options. But I think in the near-term it's really just making sure we are maintaining good cash reserves and building that up. And that will progress throughout the fiscal year 2023.
Jack Vander Aarde: Okay, great. That's it for me guys. Thank you.
Operator: Thank you. And there were no other questions from the lines at this time. I would now like to hand the call back to Michael Pope, for closing remarks.
Michael Pope: Thank you everyone for your support and for joining us today on our fourth quarter 2022 conference call. We look forward to speaking to you again in May, when we report our Q1 2023 results.
Operator: Thank you. This does conclude today's conference. You may disconnect at this time. And have a wonderful day. Thank you for your participation.